Operator: Good morning and welcome to US Silica’s fourth quarter and full year 2012 earnings conference call. Just a reminder, today’s call is being recorded and your participation implies consent to such recordings. At this time, all participants are in a listen-only mode. A question-answer session will follow the formal presentation. With that, I will now turn the call over to Mr. Michael Lawson, Director of Investor Relations and Corporate Communications. Please go ahead.
Michael Lawson: Thanks and good morning, everyone, and thank you for joining us for US Silica’s fourth quarter and full-year 2012 earnings conference call. With me on the call today are Bryan Shinn, President and Chief Executive Officer, and Don Merril, Vice President and Chief Financial Officer. Before we begin, I would like to remind all participants that our comments today will include forward-looking statements, which are subject to certain risks and uncertainties. For a complete discussion of these risks and uncertainties, we encourage you to read the company’s press release and our documents on file with the SEC Additionally, we may refer to the non-GAAP measures of adjusted EBITDA and segment contribution margin during this call. Please refer to this morning’s press release or our public filings for a full reconciliation of adjusted EBITDA to net income and definition of segment contribution margin. Finally, during today’s question-and-answer session, we would ask that you limit your question to one plus a follow-up question to ensure that all who wish to ask a question may do so. If you have additional questions, we would invite you to get back in the queue and we will be happy to take as many questions as time permits. With that, I would now like to turn the call over to our CEO, Mr. Bryan Shinn. Bryan?
Bryan Shinn: Thanks, Mike, and good morning, everyone. I will begin today by sharing highlights from our fourth quarter and full-year performance followed by an update on our two business segments, Industrial and Specialty Products, or ISP, and Oil and Gas Profits. I will also provide a progress report on some of our 2012 strategic initiatives and discuss key market trends going forward into 2013. Don Merril, our CFO, will then provide color on our fourth quarter results and outline our guidance for the first quarter of 2013. Let me first take this opportunity to thank all of our employees for delivering truly outstanding results in 2012. Through your diligence and hard work, US Silica once again achieved record results in volume, revenue and adjusted EBITDA in the fourth quarter. Well done, team. Specifically, on a year-over-year basis, volume increased by 14% to 7.2 million tons while revenue climbed over 49% to $441.9 million. On a sequential basis, volume was down slightly in ISP as projected and up substantially in oil and gas. Adjusted EBITDA of $39 million increased 43% year-over-year and 4% sequentially. Fourth quarter earnings per share were $0.41, a 14% improvement sequentially over third quarter of 2012 and 105% increase compared with the same period last year. Looking at our business from a segment standpoint, industrial and specialty products accounted for approximately 45% of corporate revenue and 59% of our volume in 2012. Sales and contribution margin from the ISP segment in the quarter were down approximately 7% and 8% respectively on a sequential basis due to expected fourth quarter seasonality and temporary shutdowns by some of our customers caused by hurricane Sandy. As a reminder, we’re typically the number one or number two player in most of the industrial end markets we compete in and we expect this segment to grow earnings in 2013 due to solid rebounds in the housing, chemical and automotive end markets. In our oil and gas segment, despite the widely reported fourth quarter slowdown in pressure pumping activity, our volume, revenue and contribution margin were up 27%, 10% and 10% sequentially versus a very strong Q3. Our outperformance was driven by high uptake from our contract customers, a significant increase in logistics and distribution value add and continued market share gains. Demand for northern white frack sand continues to be very strong and for several months, including January of 2013, we’ve been sold out of most grades of sand. As it relates to our new plant in (Spargo), Wisconsin, I’m pleased to report that we’re on schedule and expect to be fully operational in the second quarter of 2013. This new facility will add approximately 800,000 tons of course 2040 and 3050 frack sand capacity to our portfolio and we expect that a large portion of that volume will be sold this year to a combination of new and existing customers due to the robust demand for those grades. (Spargo) gives us the ability to sell our low-cost, high-quality white sand into several basins including the Bakken and the Marcellus and, moreover, it provides us a platform to launch our first 4A into the Canadian market where profit demand is increasing. Our other major capital investment, the new resin coated facility, in Rochelle, Illinois, is slated to come online this quarter. The plant is located near our largest rock sand mine in Ottawa and provides us with a significant logistical cost advantage over many of our competitors. We’re currently completing product testing and are preparing to build and stage inventory. While we acknowledge the market for resin coated sand is soft right now due to lower gas prices, we’re in active discussions with several customers and anticipate initial sales by the second or third quarter of this year. Additionally, we continue to expand our logistics capabilities. At the beginning of 2012 we sold through five (trans) loads, accounting for about 5% of our total volume. We now have 16 active (trans) loads that account for roughly 40% of our sales volume. Our new state-of-the-art sands storage facility in San Antonio, Texas, capable of delivering 500,000 tons of raw and resin coated sand into the Eagleford is on schedule to start up by the end of first quarter. As previously announced, we began shipping unit trains from our Ottawa facility in 2012. San Antonio will be capable of receiving unit train shipments and our new Sparta facility has unit train capability as well. Unit trains provide improved efficiency and better utilization of transportation assets and allow more rapid response to changing customer needs. While several suppliers claim that they’re unit train capable, only the largest have the market presence and logistical capability to make this work. We believe that our high-quality products combined with superior logistics creates strong customer loyalty and, as we’ve said in the past, we’re working with our customers to provide the flexibility and the reliability they need to be successful in winning new work. You can see the impact on our financials. While others in this space experienced a fourth quarter slowdown, we did not. In fact, our fourth quarter volume to oil and gas customers was the highest of any quarter in 2012 with strong overall pricing. We believe that we’re winning share from less capable competitors and that we will continue to do so. Now I know that a lot has been said and written about the viability of longer-term take or pay contracts with oil and gas customers, so let me take a few minutes now to talk about that. We’re working closely with customers and we’ve been very active over the last quarter, adding additional contracts, developing customized logistics and delivery solutions, extending existing contracts while increasing volumes and adjusting prices both up and down. We sold more than 70% of our total oil and gas volume last year through long-term contracts and as a result of our recent contracting activities, we expect the percentage of contract sales to remain about the same in 2013 and that includes the 800,000 tons of annualized capacity from our Sparta Phase I project. 2013 is off to a strong start and we’re accelerating staffing of our Sparta site in response to increased customer demand. And further, we’re evaluating accelerating work to complete a Phase II project in Sparta by the fourth quarter of 2013 to bring additional capacity online. Looking ahead, several key factors will drive our performance. We’ve seen a steady migration of oilfield service providers to profit suppliers like US Silica with extensive rail transportation solutions, access to multiple basins and geographically diversified production capabilities. As drillers sink more wells per rig, fracking efficiencies improve with multipad wells and profit consumption grows per stage, we anticipate an increase in the amount of profit required per rig driving volume growth for our offerings, even in a flat rig count environment. Ross sand, our primary offering in this industry is becoming the (inaudible) of choice from both a performance and economic standpoint and we believe this material will continue to gain market share in 2013 and expand its industry leading position. On the sand supply side, capacity increased in 2012 in response to significant market shortages. 2012 also saw the entry of new players in the silicon mining business, especially in Wisconsin and Minnesota. However, we believe that many of these new entrants have higher cost structures and lack the service capabilities of US Silica. We also believe that we’re winning share and that we’re well positioned for continued success as evidenced by our 2012 results, strong fourth quarter and strong start to January 2013. Our strategy for the oil and gas segment segment going forward is to add capacity, to grow share while maintaining our low-cost position. We plan to accomplish this through a combination of organic growth, Greenfield development and select acquisitions that complement our business model of being a low-cost, high-quality producer with outstanding logistics capabilities and strong customer service. We will continue to expand our (trans) load network by adding new sites and expanding capacity at our existing sites to ultimately give us the ability to forward stage inventory into all of the major US and Canadian basins. We expect to have 25 to 30 (trans) loads online in 2013, expanding to 40 in 2014. On the ISP side of the ledger, we continue to work to transform this segment to a technology-driven enterprise by developing capabilities and product that enable us to penetrate larger, more profitable markets. We have a robust opportunity pipeline with several new offerings under development, the first of which we anticipate launching into the water treatment market in 2013. We expect to generate at least $10 million in incremental EBITDA from new industrial products in 2015 as well. I would now like to turn the call over to Don Merril, our Chief Financial Officer, to discuss our financial results in more detail and update you on our guidance. Don?
Don Merril: Thanks, Bryan. Good morning, everyone. As Bryan previously noted, the fourth quarter of 2012 was another record quarter financially for US Silica. There were approximately 1.8 million tons sold in the fourth quarter compared with 1.6 million tons sold in the fourth quarter of last year. On a sequential basis, volume in the fourth quarter was down slightly from the third quarter 2012 due to seasonally lower levels in the ISP segment of the business offset by a stronger, more profitable demand in the oil and gas segment. Revenue in the fourth quarter was up 3% sequentially over Q3, improving to $118.8 million. The increase in revenue was driven primarily by volume growth and pricing strength in our oil and gas contract business. On a year-over-year basis, Q4 revenue for the oil and gas segment grew by 88% to $70.9 million and Q4 revenue for the ISP segment increased 4% to $47.9 million. Volumes for the oil and gas segment for the fourth quarter of 2012 were 785,800 tons and the contribution margin was $37.5 million versus 590,400 tons and a contribution margin of $23.8 million for the fourth quarter of 2011. Volumes for the ISP segment totaled 974,400 tons and the contribution margin for the ISP segment was $13 million in the fourth quarter of 2012 compared to 1,010,300 tons and a contribution margin of $14.5 million for the same period last year. SG&A expense was $11.5 million in the fourth quarter of 2012 compared with $6.9 million in the same period of 2011. The increase in SG&A was driven primarily by continued additional staffing to support the overall growth in our business segments and to meet the additional administrative requirements of a public company. Interest expense was $3.2 million compared with $3.9 million in the fourth quarter of 2011. The decline in interest expense year-over-year was primarily to the conversion of an equity note immediately prior to our IPO in 2012. Turning to the balance sheet, cash and cash equivalents totaled $61 million for the year ended December 31, 2012 compared with $59.2 million at December 31, 2011. As of December 31, 2012, our working capital was $97.2 million and we had $32.1 million of availability under our revolving credit line. In December 2012, we amended our credit facility to increase the commitment from $35 million to $50 million to reduce rates and fees and to extend the terms of the agreement by one year. We incurred capital expenditures of $30.9 million in the fourth quarter of 2012. The bulk of our fourth quarter spend was related to our new resin coated production facility in Rochelle, Illinois and our new Greenfield plant in Sparta, Wisconsin. During the period, we also paid a one-time special cash dividend of $0.50 per share that was payable on December 28, 2012 to shareholders of record on December 20, 2012. Turning to our outlook for the first quarter of 2013, we expect revenue to be in the range of $115 million and $123 million. We anticipate adjusted EBITDA for the first quarter of 2013 in the range of $36 million to $39 million. For the full year 2013, we expect adjusted EBITDA in a range of $165 million to $175 million. Also, for the full year 2013, we have budgeted between $50 million and $60 million for capital expenditures and anticipate an effective tax rate just north of 27%. With that, I would now like to turn the call back over to Bryan.
Bryan Shinn: Thanks, Don. In closing, I’d like to reflect on 2012 and our accomplishments. After operating a private company for over 100 years, we completed a successful public offering and quickly made the transition from a company best characterized as a proxy for the overall economy growing at or slightly above GDP to a dynamic enterprise with a growth curve that looks more like a technology startup. We developed an executed a plan to invest $!00 million of our cash flow into building two new materials processing plants, the first new US Silica plant since 40 years. These new facilities are coming online in 2013 and will drive continued growth in our oil and gas business. We’ve expanded and fortified our transportation network to accommodate the changing demands in both the oil and gas and industrial markets. US Silica now has one of the most extensive logistics networks in our industry providing us with a high level of flexibility in storage and inventory management to meet the needs of our customers. We launched an exciting new initiative to reinvigorate our industrial and specialty products business. We’ve enhanced our capability to develop innovative new products that will help us penetrate higher growth markets with a potential for higher margins as well. We’ve added promising new talent to our company, partly to help us manage as a public company but mostly hiring people who are focused on growing our business and producing outstanding results. Financially, in 2012, we grew our top line by almost 50% and more than doubled our EPS. We instituted a share buyback program and declared a $0.50 per share special cash dividend both reflecting our confidence in our ability to generate strong cash flows and to increase shareholder value. In short, we did exactly what we said we would do in 2012. Going forward, we expect a very successful 2013 with substantial revenue and earnings growth. We also expect to generate significant cash flow this year. Also, our board is committed to pursuing a rigorous and disciplined approach to capital deployment and to achieving best in class total shareholder returns including evaluating return of capital initiatives and policies. That concludes our prepared remarks. Operator, let’s open the line up for questions.
Operator: (Operator Instructions) Your first question comes from the line of Travis Bartlett – Simmons & Co.
Travis Bartlett – Simmons & Co: First question for you guys, first of all, according to (inaudible), on their conference call, did a pretty good job of talking about their expectations for increasing service intensity next year with closer frack stages and more profit and volumes per stage. So the question for you is can you share with us what you’re seeing there and maybe site any examples that would help frame for us the service intensity gain that you’re seeing?
Bryan Shinn: It’s a great question, Travis, and certainly we’re seeing that as well. If we look at the amount of volume that we’re sending to customers and the discussions we’re having with them around how much they’re using per well, we see a continued increase there and I would expect that overall from a market standpoint we’ll probably see 10% to 15% increase in sand demand, even if recount stays flat as a result of the drilling efficiencies. And also I think an area that perhaps is a little bit underconsiderd sometimes is the Fracking efficiencies as well. So we’re seeing both of those combine to produce really nice increases. And once again, 10% to 15% probably in a flat recount environment.
Travis Bartlett – Simmons & Co: Are there any markets where you’re seeing service intensity increasing at a disproportionately fast rate versus others?
Bryan Shinn: So if you look at the markets that we serve, we have the ability to serve pretty much everywhere in the country but generally we have high volumes in places like the Eagleford, the Permian. We’re also ramping up a lot in the midcon. We’re seeing some service intensity gains there. But I would say it’s across the board, particularly in the southern basins.
Travis Bartlett – Simmons & Co: And then last one here for you guys, you all have invested a lot of capital in building out your logistics footprint at this point. So the question is what kind of potential do you see going forward to potentially provide logistics for third parties?
Bryan Shinn: So at this point, we take our product as far as the (trans) loads. And the (trans) loads are set up and focused around our sand and really in service to our customers. So I think that as far as third party and bringing additional products on our site, that’s not something that we spent a lot of time considering, although it’s simply an upside and we have some (trans) loads that we manage and others that we do with third parties, so we have mixed, Travis.
Operator: Your next question comes from the line of Ben Swanley – Morgan Stanley.
Ben Swanley – Morgan Stanley: I was hoping you could discuss for me a little bit more about what you plan to do with all of this free cash flow you’re about to generate.
Don Merril: I guess the way we think about it is that both the management team and the board is always looking then at best use of cash and our focus is to try and generate the highest total return for our shareholders, as you might imagine. We have a number of great options. We can reinvest in our business. We have a lot of growth projects that have extremely high returns. We continue to look at some highly accretive M&A alternatives. As you are probably aware, as many folks on the call today, there are many assets that are for sale right now in the sand business and so that’s one potential but there’s others there as well from an M&A front. We’ve done share repurchases in the past and, of course, dividends. So at the end of the day we have to evaluate all of that in terms of our business strategy and what we can do to best grow the company. Right now we do see a lot of M&A opportunities and we tend to look there, as I said. We’ve been talking a lot to investors and we know there’s interest in dividends. And so we haven’t made any firm decision at this time around some of the different avenues here but we’re exploring all of them and keeping them open and at the end we want to focus on what we can do to bring the highest total return to our shareholders.
Ben Swanley – Morgan Stanley: And just a follow-up on the M&A opportunities, how do you think about fitting in a new asset with your existing footprint? One of your key competitive advantages is your logistical network. So to what extent – are you seeing opportunities that would actually work on – and be consistent with your cost structure advantage?
Bryan Shinn: So as we think about M&A, to me it’s in a couple of different categories. So one is the sand asset that has the kind of attributes that we would like. As you mentioned, low-cost, high-quality product. Another could be in the distribution chain itself. There are some – probably some opportunities there. And certainly on the ISP side of the house we tend to talk a lot about oil and gas but there’s opportunity there as well as we are changing that business into one that’s much more focused on performance and differentiated products. You can imagine, there could be some interesting bolt-on acquisitions there. So just generally, that’s how we think about it, Ben.
Ben Swanley – Morgan Stanley: Do you think – how large are the opportunities that you’re looking at? Would there be room to do both, say, a dividend and (foresee) some of these bolt-on opportunities?
Bryan Shinn: So we really haven’t made specific decisions there and I think it would just depend on the different opportunities and which direction we choose to go but I will say that certainly any acquisition that we’re looking at would be something that would be highly accretive and would be a natural fit with our business plan. I don’t want to get folks too focused on that. It’s certainly an opportunity but we have lots of ways to grow the company as well.
Operator: Your next question comes from the line of Brandon Dobell – William Blair.
Brandon Dobell – William Blair: I wonder if we could focus on your comments around the contracts that you were working through here, the back part of ’12 and early ’13, just some sense of the ones you extended in terms of timeframe, how those look on volumes, where some of the pricing came in relative to prior contracts or current market expectations and just some more color around your confidence around how ’13 plays out relative to ’12 and the contracted customers.
Bryan Shinn: I’m extremely pleased with our oil and gas contract portfolio. Our commercial team has been working very hard over the past several months and the truth of it is that we’re winning share and customers are actually seeking us out. I was talking to our sales guys last week at a meeting and it turned out just last week we turned away about 10,000 tons in business in oil and gas because we’re essentially sold out and couldn’t serve those customers’ needs. But as we think about moving forward with our contracts, the fundamental goal we’ve had is to be flexible and easy to do business with and certainly US Silica, well, for over 100 years, throughout our different business segments. And when you combine that with the multiple supply and delivery point combinations and the quality and service that we have, we think it puts us in a really advantage position. As a result of that, it’s translating into a lot of new contract business, so we have one of our take or pay contract customers extend their contract by a year, another one we’re talking with an extension even longer than that. We’ve had customers that have added volumes to their existing take or pay contracts and we’ve got a couple of new agreements and then more that are currently under construction. When you look at the impact of that, it’s really significant. We said in our prepared remarks our 2013 contract volume we expect to be about the same percent of total oil and gas volumes, so it should be greater than 70%, just like it was in 2012. And if you do the quick math on that, we’re actually increasing the total amount of contracted volume by somewhere around 30% on an absolute basis. And once again, you do the math and that pushes our rollover points for our average contracts out quite a bit. We’ve said in the past if you did a weight average of rolloff of our different contracts for oil and gas that it was somewhere in the mid 2014 range. With all the work that our team has done recently, we pushed that out to 2015, so think about what that means. We have great visibility for the next two years all through ’13 and ’14 and even into ’15 for a substantial portion of our revenue. And so as we work with our customers on that, as you can imagine, a lot of discussions on a number of topics. Some customers want to talk about grade mix. Others said our real issue is we need more product out at (trans) loads and so US Silica invested in (trans) loads to serve certain customers. We’re able to leverage our strong balance sheet. If you think about not just investing in our (trans) load but that means additional working capital that you have to pay for and many other companies in the industry can’t do that. We moved our point of sale out closer to the end use market, i.e. closer to the well head, which customers like. In some cases, we increase volume; other cases, we decrease volume on certain grades. Some places we increase prices; some places we decrease. So there was a lot of give and take and our approach has been that we’re always willing to talk about trading value for value where it made sense. And when you do all the integration of that, I’m really happy with where we come out.
Brandon Dobell – William Blair: Then one quick follow-up on the resin coated side. You talked about some initial sales in the second or third quarter. Any sense of what your expectations are for this year given where there market is for RCS? Should we anticipate a little bit of contribution, modest amount? I’m trying to gage quantitative trajectory on your expectations.
Don Merrill: I would say that when we embarked on this project two years ago, obviously the resin market was on the short side of balance. Today it’s on the long side. I think everybody knows that. So consequently the ramp rate that we’ll see from resin coated sand is going to be slower than what we would have anticipated maybe two years ago when we diagrammed this project out. What we’re seeing is that the pricing is still pretty readable in the market. We’ve got a lot of competitive advantages and we’re going good interest from customers who are out in the market now with production-made samples, not just lab-made samples. We actually made scale production from our plant as we were going through the startups and checkouts. And so we’re in the process of getting that tested with independent third parties and also with customers. And we feel really good about where that’s going to come out. So we have said, Brandon, that between Sparta and Rochelle we expect it to be at a $40 million EBITDA incremental run rate. By the end of 2013, I still think we’re going to be there. I still think that’s a good number for us. But the resin market is a little bit tough right now but we are getting good reception from customers. I think the last point on that is that if we chase the cycle and trying to invest for capacity, we’ll never have the capacity when we need it. So I think this is going to be a really good investment for us and one that we’ll be proud to own for a long time.
Operator: Your next question comes from the line of Kurt Halled – RBC Capital Markets.
Kurt Halled – RBC Capital Markets: The two questions I have for you to follow up here is how much CapEx is slated for the Phase II for Sparta?
Don Merril: The Spart Phase II project right now are looking somewhere between $10 million and $15 million to complete.
Kurt Halled – RBC Capital Markets: And that’s all going to be encompassed here in 2013.
Don Merril: That’s right. 
Kurt Halled – RBC Capital Markets: And then how much volume will that bring on?
Don Merril: So that’s another equivalent volume to Phase I. So Phase I, Kurt, was 800,000 tons and Phase II will be the same. So it’s another 800,000 incremental.
Kurt Halled – RBC Capital Markets: And then you guys mentioned you’re going to challenge in the resin coated sand market. If you said it already, I apologize. How much volume do you think you’ll be able to do in resin coated sand in 2013?
Bryan Shinn: Yes, so we haven’t given specific guidance on that, Kurt. I think, as I said, we’re out talking to customers right now. I expect initial sales sometime in the next six to eight week timeframe. We said Q2, late Q2, maybe early Q3, somewhere in that range and so we don’t have a specific target to share this morning but we do feel good about the guidance that we gave around $40 million in incremental EBITDA between Sparta and Rochelle combined.
Operator: (Operator Instructions) Your next question comes from the line of Blake Hutchison – Howard Weil.
Blake Hutchison – Howard Weil: Bryan, a lot of good data on the buildout of the (trans) loads and obviously having over the course of the year more of a profound impact here. As we think about 2013, should that 40% of volume going through the 16 (trans) loads start to move towards the high 50s or 60s mid year and 70% year-end? How should we be thinking about that in terms of volume numbers rather than just number of (trans) load facilities?
Bryann Shinn: So I think one way to look at it, Blake, is that we’ve said that we – when you think back, we started 2012 with five (trans) loads. We finished at 16 and we’re saying that we’ll be at 25 to 30 by the end of 2013. So if you think about that, that’s at least a 50% increase in the number of (trans) loads, so it wouldn’t be unreasonable to expect that we’d see that kind of increase in terms of the volume that goes through (trans) loads. I would look at it that way. But the reality is, at the end of the day, we follow the customers. So we’ll do what the customers want us to do. Certainly we’re getting positive indications from a number of customers that we need to have more out in the basins and so that’s why we’re investing. But we also do a lot with our customers to become more embedded in their supply chains, so just to give you an example, one of our major oilfield service customers, we have a deal with them where we share rail cars. So when you get into that kind of an arrangement, it really locks in the business and makes us much more sticky with them, if you will. So those are the things we’re doing. It’s more than just the (trans) load. It’s the whole supply chain and how we get from our plants out ultimately to where the customers want the product. But I think it gives us a lot of advantage.
Blake Hutchison – Howard Weil: And I guess you’re hitting on some of the detail in the follow-up to that. You mentioned in your preamble that I guess you either – maybe you can characterize this for us as more of a volume or just the practice of this. You’ve laid out some parameters for increased absolute margin as you turn towards this shipment. Are you starting to hit towards the higher end and you’re saying you think that’s more just the practice of doing this or are we just getting the pressure points on volume that you feel like you can get towards the higher end, again, absolute margin parameters you laid out?
Bryan Shinn: Right and I think – it’s a great question and it’s one that’s maybe confused folks a little bit. And what you’ll see is that, for example, we might have a quarter-over-quarter where volume is flat but revenue has gone up a lot and that’s from the increase in transportation. And certainly those transportation revenues don’t carry with them the same kind of percentage margins that we get from selling our base products. But it’s all incremental and additive to the bottom line and that’s why we’re so excited about the improvements and the enhancements that we’ve made there. But even beyond that, it’s really about serving the customers’ needs and becoming more embedded in them and making it much more difficult for customers to switch and go to someone else. And we like to think that we need to provide service that’s way in excess of the price that we’re charging, so basically delivering more value to the customers that’s in their price. And we’re seeing that play out in the market as we win share and as customers are choosing to work with us proactively versus other choices that they have in the market.
Blake Hutchison – Howard Weil: And just, if I can, just one quick housekeeping maybe for Don. Was there still some hangover to the tune of a couple million dollars from the dryer issue at Ottawa in terms of direct expense for the quarter or is that overstating it?
Don Merril: That’s overstating it a little bit.
Operator: Your next question comes from the line of Jack Kasprzak – BB&T.
Jack Kasprzak – BB&T: You guys did $150 million of EBITDA in 2012. Guidance is for $160 million to $165 million but the two projects, Sparta and resin coated, could add $40 million of incremental EBITDA. So is the difference there just maybe the timing, get through the course of the year and see how the projects, particularly the resin coated are playing out?
Don Merril: Yes, so it’s a really good question, Jack, and I think it’s one that we’ve gotten a couple times and maybe just to clear it out that what we’ve said is that guidance is – it’s $165 million to $175 million for EBITDA and the $40 million is a run rate. So we’re not saying we’re going to get an incremental $40 million this year on top of the $150 million. It’s as we exit the year we’ll be at that run rate. So I think that’s maybe where the confusing comes in.
Jack Kasprzak – BB&T: And second question, I think it’s a new item you mentioned in your remarks 2015 goal for industrial, for ISP, of $10 million of incremental EBITDA from new products. Can you talk a little bit about what you’re doing there maybe in terms of what segments or customers you might be accessing with these new products? 
Bryan Shinn: So we have brought in a new leadership team to reinvigorate our industrial business. And most of the folks came in more than 12 months ago. And so they got their feet on the ground. One of the things that they did from a strategic standpoint was to focus that business more on specialty and performance products, i.e. high end, high value added products. And so what we’ve done, Jack, is develop a pipeline of new opportunities. We have more than a dozen offerings and new products in that pipeline right now, at the first of which we said we’ll launch later on this year into the water treatment market. So I think what you can expect to see from us is a recurring series of new product launches for the high value, value added products. And we’re leveraging a lot of what we already know about the sand business and going into some end use markets where we have a presence or se see great opportunity. And so there is a number of them that we’re looking at. If you think about where are some our high end just plain sand products go today, it’s industrial coatings, polymers, resins. We’re all over the place. If you look at the car, anybody’s car, we’re all over the car. We’re in the hoses, the belts, the paint, the plastics, things like that. So think high value additives that bring performance attributes. Those are the kind of things that we want to do more of. So I’m tremendously excited about this business. We’ve said $10 million. I think that’s probably conservative. If we don’t do better than that I’ll be disappointed. But we’ve got a lot of the pipeline and you’ll see the first of it coming out later this year.
Operator: At this time, we have come to the end of the Q&A session, so I would like to turn the call back over to management for closing comments.